Operator: Welcome to the Everest Re Group Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to turn the call over to Jon Levenson, Head of Investor Relations. Thank you. Please go ahead.
Jon Levenson: Good morning. And welcome to the Everest Re Group Limited 2021 First Quarter Earnings Conference Call. The Everest Executives leading today’s call are Juan Andrade, President and Chief Executive Officer; Mark Kociancic, Executive Vice President and Chief Financial Officer. We are also joined by other members of the Everest management team. Before we begin, I will preface the comments on today’s call by noting that Everest SEC filings include extensive disclosures with respect to forward-looking statements. Management comments regarding estimates, projections and similar are subject to the risks, uncertainties and assumptions as noted in these filings. Management may also refer to certain non-GAAP financial measures. These items are reconciled in our earnings release and financial supplement. With that, I turn the call over to Juan Andrade.
Juan Andrade: Thank you, Jon. Good morning, everyone, and thank you for joining the call. Everest is off to a strong start in 2021, with robust growth, strong overall profitability, continued improvement in attritional underwriting margins and excellent investment performance. We achieved these results, despite the meaningful impact to the industry of the U.S. winter storms in the first quarter. Our thoughts are with those affected by the storms, as well as the Australian floods and I am very proud of the work our claims team is doing on the ground to help people restore their lives. Our first quarter results demonstrate the earnings power of Everest and our success in implementing our strategy to build a broadly diversified company with a relentless focus on operational performance and disciplined underwriting. We are bullish about 2021. We will continue to profitably grow the Insurance segment, while continuing to grow and strengthen our position as a leading global P&C reinsurer. Our diversified Reinsurance and Insurance franchises, financial strength, deep distribution relationships and leading customer solutions enable us to thrive in today’s market. I will now discuss our Group, Reinsurance and Insurance first quarter 2021 results. Starting with the Group results, we grew gross written premiums by 14% and net written premiums by 16% with robust growth across both segments. Our growth stems from, one, the combination of new business opportunities, two, improved terms and conditions, three, increased rate levels, four, expanded shares on attractive renewals, and five, high overall renewal retention. The as-reported combined ratio was 98.1%, including the previously announced U.S. winter storms and the Australian flooding catastrophe losses. We generated $45 million in underwriting profit, compared to $29 million in the first quarter last year. While the pandemic is not over and as we have done in prior quarters, we completed a rigorous analysis of our COVID exposure in the first quarter, resulting in no change to our COVID loss provision. Our COVID loss provision remains at $511 million, of which approximately 80% is IBNR. The attritional combined ratio was 87.3%, a 2.5 point improvement over the first quarter of 2020 with both segments continuing to show significant year-over-year improvement in loss and expense ratios. We continue to diligently manage our portfolios to improve returns with a broad array of underwriting actions. This includes managing attachment points and limits, improving on terms and conditions and targeting non-renewals of business, which does not meet our hurdle rates, as well as many other actions. Underwriting profitability remains at the core of everything we do. Net investment income was excellent at $260 million, compared to $148 million in the prior year first quarter. These strong operating results led to a net income for the quarter of $342 million resulting in an annualized return on equity of 15%. For our Reinsurance Division, the first quarter continued our strong growth, with gross written premiums up 16%. We were pleased with our successful execution of our January 1 renewal plan. The targeted and disciplined growth was driven by higher rate, increased shares on profitable deals, along with new opportunities in property, casualty, specialty lines and facultative business. The attritional combined ratio was 85.5% for the quarter, a 2.3 point improvement year-over-year. This came from improvement in both the loss and expense ratio. We saw better economics in most treaties and parts of business around the world. We were disciplined and reduce shares or non-renewed underperforming treaties or those where we did not get our target rate, terms, conditions, wordings, or exclusions. We also deployed additional capacity into lines with more attractive risk adjusted returns. This dynamic capital allocation resulted in an improved attritional combined ratio. Overall, we continue to write a stronger, more diversified and more profitable book. With regard to the April 1 renewals, we achieved 10% to 15% rate increases on Japanese wind treaties and 5% rate increases in earthquake treaties. Rates in other geographies continue to rise in both property and casualty lines. John Doucette is available to provide additional details during the Q&A. Our Insurance Division continued its solid execution in the market, resulting in strong attritional underwriting performance and premium growth. Gross written premium grew 10%. If we exclude workers’ compensation where we see less attractive pricing, gross written premium grew 20%. This growth is driven by disciplined cycle management, new business opportunities, ongoing strong rate increases in our target classes of business and high retention rates on existing business. We are also seeing a slow but steady improvement in overall economic activity. The growth was well diversified in our target classes, where market conditions are prime for profitable growth, including specialty, casualty, professional liability and property short tail. We are happy with this diversification as it is a core tenet of our strategy. Everest Insurance delivered an improved attritional combined ratio of 92.2% for the first quarter, a 2.7 point improvement over Q1 2020. These results continue to be driven by proactive underwriting actions and a continued focus on expense management. These actions are resulting in the continued expansion of our Insurance margins. The attritional loss ratio of 64.3%, improved 1.4 points year-over-year and the total expense ratio improved 1.3 points year-over-year. Renewal rate increases continue to exceed our expectations for loss trend, up 16% in the quarter excluding workers’ compensation and up 10% including workers’ compensation. The increased rate we achieved and the expected increase in margin is a function of market conditions and disciplined proactive underwriting actions across our businesses. After years of soft pricing and rising loss costs, pricing adjustments remain necessary. We expect this favorable pricing to continue throughout 2021. Consistent with prior quarters, rate increases were led by excess casualty up 33%, D&O up 24%, property up 13% and commercial auto up 13%. We are also seeing widespread rate increases in other lines of business. We are managing the Insurance business to build a diversified portfolio, steering our mixed or product lines with better rate adequacy and higher long-term margins. We also continue to manage average limits deployed to control volatility. We are happy with the progress we have made and we expect that the strategic direction should possibly impact our results going forward. Conversely, we have been thoughtfully managing workers’ compensation through the cycle. This portfolio now represents 14% of our first quarter premiums, down from 21% the year ago. We have pared back for writings in the monoline guaranteed cost base and shift in our portfolio to more loss sensitive, loss ratable business. Workers’ compensation is an area of expertise at Everest and we are monitoring market conditions closely for potential opportunities, but these efforts illustrate the disciplined cycle management we have implemented in the company. Lastly, our strong position in both the E&S and retail channels continue to give us access to a wide set of opportunities. Mike Karmilowicz is available to provide additional details during the Q&A. Everest had a strong start to 2021, with robust growth, strong overall profitability, continued improvement in attritional underwriting margins and excellent investment performance. We have vibrant and well-diversified Reinsurance and Insurance businesses with experienced leadership and underwriting teams providing industry-leading solutions to customers. We have sustained momentum. This company has excellent financial strength, top talent, and a prudent capital management philosophy. We are focused on sustained profitable growth, a more diversified targeted and deliberate mix of business and superior risk-adjusted returns. We believe that the relentless and disciplined execution of our strategies will result in maximizing shareholder returns. I am confident in Everest’s future and in our ability to deliver and our commitments to customers and shareholders. Now, let me turn the call over to Mark Kociancic for additional details on the financials. Mark?
Mark Kociancic: Thank you, Juan, and good morning, everyone. Everest had very attractive results for the first quarter of 2021, with strong overall profitability, continued improving underlying margins, robust growth and an excellent investment results. I will touch on these points over the next few minutes. For the first quarter of 2021, Everest reported a net income of $342 million, resulting in an annualized return on equity of 15%. We also reported operating income of $260 million for Q1 and operating earnings per share of $6.49. Starting with underwriting income, Everest had positive contributions from both Reinsurance and Insurance with $45.2 million of underwriting income. This reflects the improved underlying attritional loss and expense ratios, offset by the impact of catastrophe losses. The catastrophe losses of $260 million of pretax and net of Reinsurance and reinstatement premiums, with $213 million in the Reinsurance segment and $47 million in the Insurance segment. Vast majority of $250 million is coming from the U.S. winter storms with the balance from the floods in New South Wales, Australia. Also worth noting is that we have not added to our COVID-19 loss provision, which remains at $511 million, with approximately 80% of our pandemic loss estimate remaining as IBNR. First quarter results continue to reflect the impact of our underwriting and portfolio management initiatives. Our underlying attritional loss and combined ratios are strong and continue to improve, excluding the catastrophe losses, reinstatement premiums, prior year development and COVID 19 pandemic impact, the attritional loss ratio was 60.7% in Q1, compared to 61.4% in the first quarter of 2020. The attritional combined ratio was 87.3% for the first quarter of 2021, compared to 89.8% for the first quarter last year, representing a 2.5 percentage point improvement. For Insurance, the attritional loss ratio improved from 65.7% in the first quarter of 2020 to 64.3% this quarter. And the attritional combined ratio for Insurance improved to 92.2%, compared to 94.9% in the first quarter of 2020. Our U.S. Insurance business, which makes up the majority of our overall Insurance business, continues to run very well, with an attritional combined ratio in the high 80s. For Reinsurance, the first quarter 2021 attritional loss ratio was 59.5%, down from 59.8% a year ago. The attritional combined ratio on the same basis was 85.5%, down from 87.8%. The Group commission ratio of 20.5% for the first quarter of 2021, was down a 150 basis points from 22% reported last year in Q1, largely due to changes in the composition of our business mix plus higher ceding commissions received in the Insurance segment. The Group expense ratio remains low at 5.9% for the first quarter of 2021 versus 6.3% a year ago. The expense ratio continues to benefit from our continued focus on expense management, cost economies of scale as our premium base continues to grow. First quarter investment income had an excellent result of $260 million, as compared to a $148 million for the first quarter 2020. Alternative investments recorded a quarterly record $120 million of income in the first quarter, largely due to increases in the net asset values from our portfolio of diversified private equity investments, reflecting the strong economy and financial markets. As a reminder, we report our limited partnership income one quarter in arrears. Invested assets grew approximately 2% to $25.9 billion during the quarter, up from $25.5 billion at year end 2020. Approximately 80% of our invested assets are comprised of a well-diversified, high credit quality bond portfolio with a duration of 3.5 years. The remaining investments are allocated to equities and other invested assets, which include private equity investments, cash and short-term investments. Our effective tax rate on operating income for the first quarter of 2021 was 7.9% and 8.4% on net income. This was favorable versus our planned effective tax rate of approximately 12%, largely due to the geographic distribution of the catastrophe losses occurring within the United States. For the first quarter of 2021, Everest generated strong operating cash flows of $904 million, compared to $506 million for the first quarter of 2020, reflecting the strength of our premium growth year-over-year. Our balance sheet remains strong with a capital structure that allows for the efficient deployment of capital and ample capacity to execute on market opportunities. Shareholders’ equity was $9.7 billion at the end of the first quarter and broadly flat versus the $9.7 billion at year end 2020. Our debt leverage ratio stands at 16.5% and book value per share stood at $241.57 at quarter end. I close in noting that Everest repurchased approximately $24 million of common shares during the first quarter. And with that, I will now turn it back to Jon.
Jon Levenson: Thanks, Mark. Operator, we are now ready to open the line for questions. We do ask that you please limit your questions to two or one question plus one follow-up and then rejoin the queue if you have any remaining questions.
Operator: Great. Thank you. [Operator Instructions] Your first question here comes from the line of Elyse Greenspan from Wells Fargo. Please go ahead. Your line is now open.
Elyse Greenspan: Hi. Thanks. Good morning. My first question, if we went back to last year, you guys within your Insurance book we are getting 24% of price that was excluding comps, 12% with workers comp and if we were to assume a 5% loss trend that would have resulted in about 4 points of accident year underlying loss ratio improvement this quarter and when we look at the Insurance book in back of COVID you produced just under 1.5 points. So is it a -- is a good rule of thumb that you will apply less than a half of the improvement brought at the bottomline and the other half you would use to build some reserves conservatism?
Juan Andrade: Yeah. Thanks, Elyse. And this is Juan and good morning also. I think there’s a couple of things to keep in mind. Number one is, we had strong results across the Board. As I said in my prepared remarks, it’s a 2.5 point improvement in the combined ratio year-over-year. When you look specifically at the Insurance Division, that’s a 2.7 improvement that you are seeing there as well. But frankly is led by the loss ratio with 1.4 improvements in the attritional loss ratio. Now the mechanics of that improvement, I think, it’s along the lines of what we discussed in prior quarters. So, certainly, we are seeing very good rate. We saw as I mentioned 16% rate increases in the Insurance book in the first quarter and that continues to do quite well. As a matter of fact to put it in perspective that 16% is 2 times the rate that we achieved in all of 2019. So rate is part of that. But the bigger part of all of this is really the myriad of actions that we are taking on the underwriting side. As I mentioned previously, to continue to position our book of business both on the Insurance side and the Reinsurance side to have sustained profitability over the long term. And it’s important to keep in mind, one thing, right, we are deliberately shifting the portfolios toward segments that have better overall economics. In addition to all the underwriting actions that we are taking and that I have mentioned in the past and in my script to continue to improve sustained profitability. Now when it comes to loss picks, I think, it’s also important to keep in mind that we continue to hold the line on loss picks. We have clear indications that underlying profitability is continuing to improve, some of that you saw in this quarter’s results and some of that will need to be proven over time as the accident years continue to mature. So I think that’s probably the best guidance that I can give you on that. And with that, let me ask also one of my colleagues Jim Williamson to jump into this question as well.
Jim Williamson: Yeah. Good morning, Elyse. The only thing I would add and I think it’s important both in Insurance and Reinsurance, and I suspect it’s on the minds of everyone on the call today is, just this question of the loss trend and we talked about rate achievement exceeding the loss trend. But we have also talked over the last few years about the fact that the trend line has been accelerating in terms of whether it’s social inflation, inflation in building cost in terms of repair after natural disasters and things of that nature. And so that does two things, one, it will certainly consume a little bit more of the rate increases and we want to be prudent about that, that’s I would say a smaller effect. The larger effect though is the degree that, that places uncertainty around what the ultimate trend line will turn out to be, which is why we are going to take a very conservative position around making sure that we have proven out our trend selections over time, which would ultimately allow us to be looking on these accident years more favorably, but it’s going to take time for that to fully mature.
Elyse Greenspan: That’s helpful. And then my second question on the other part of your margin is on the expense ratio. If I am looking at your consolidated expense ratio was around 26.4 I think in the quarter? And so in line with the levels that you guys saw in the second half of last year, but well below where you were pre-COVID. I am just trying to get a sense of what kind of -- and obviously there is the commission and brokerage ratio and also the other underwriting expenses, but just trying to get a sense of where the expense ratio should level out once we are kind of through with COVID and what kind of a run rate level there?
Juan Andrade: Sure. Thanks, Elyse. I think it’s important. I think as you were describing just now to decompose the parts of the expense ratio. I think if we look at the operating expense ratio that 5.9. I think that 5.96, et cetera, it’s going to be pretty consistent for us. One of the things that you know about Everest and our company, it’s our disciplined expense management, whether it’s COVID or no COVID. The reality is we are pretty focused on being efficient. So I would expect that the operating expense ratio would be relatively consistent with those numbers that you have been seeing. The commission ratio is going to fluctuate based on the type of business that we are writing in any given quarter, right? And so, for instance, if you are writing on the primary Insurance business, lines that are growing faster but you are getting better seeds because of our Reinsurance structure that obviously will have an impact. On the Reinsurance side, obviously, the business mix that we write at the 1.1 renewals will also have an impact on that. But let me ask Mark Kociancic to weigh on that as well.
Mark Kociancic: Yeah. I would echo that, Elyse. I think that expense run rate is going to be hovering around that 6 points. You might see some quarterly volatility. But in general, that’s roughly the area I would expect it to go. There could be awaiting differential depending on the growth rate of Insurance, which comes with a higher general expense operating rate versus the Reinsurance Division. And then the other piece that I would just highlight is we are having a fairly strong net earned premium growth as we develop both franchises even more. So, these are things we are all keeping an eye on. So we wouldn’t get caught up in quarterly volatility, but that run rate of 6 is a pretty good bogey.
Elyse Greenspan: Okay. Thanks for the color.
Juan Andrade: Thank you, Elyse.
Operator: Your next question comes from the line of Phil Stefano from Deutsche Bank. Please go ahead. Your line is now open.
Phil Stefano: Yeah. Thanks and good morning. We have been spending a lot of time with the first quarter earnings call, talking about the concept of rate adequacy. And I was hoping you could give us your thoughts on just the proportion of business that feels rate adequate or the extent to which we are rate -- we are reaching rate adequacy and pricing momentum may start to decelerate, and of course, the offset to that could be exposure growth as the global economy starts to recover in the back half of the year and overall what this could mean for potential topline growth? I mean it’s more of an Insurance question than Reinsurance question, but appreciate whatever color you have.
Juan Andrade: Great. Phil, thank you for that. Let me start with the topline growth question and then we will come back to the margin expansion point that you had. As I mentioned in my commentary and the script, one of the things that we are starting to see is a slow and steady return of exposure growth. It is starting to get near pre-pandemic levels. And I think that’s something that, as well as the economic recovery is consistent, you are going to continue to see probably for the back half of the year. So I think that obviously bodes well for the Insurance industry as we are creatures of an economy and as there is more to ensure if more opportunity for growth. So I think again in the back half of the year, if exposure growth continues, you are going to see improvement in that. With regard to rate adequacy, et cetera, we have been seeing rate exceeding our expectations for loss cost trend now for a number of quarters, and obviously, it’s going to vary by line of business. But you are starting to see where the majority of your lines of business are rate adequate at this point in time. Now that being said, it’s important also keep in mind the starting, particularly for some of the longer tail lines, such as general liability, excess and maybe some of the D&O lines, where they may be needed more rates as an industry over time and we are starting to catch up and we are starting to get there. Now what you see in our numbers, frankly, is that, we have that steady improvement of underlying profitability continue to improve. As I have just mentioned to Elyse a few minutes ago, we are holding the line on our loss picks. We expect that over time we will be bringing that to the bottomline. But all of that bodes very well for expected margin growth over time. But let me also ask Jim Williamson to weigh in on this question.
Jim Williamson: Yeah. Phil, the only thing I would add. I think, Juan covered it really well, is just the idea that when you -- we are very disciplined underwriters. And so when you see us moving our topline the way that we have in the last several quarters, I think that’s a very clear indication to you that we feel great about the trades we are making, both in Insurance and Reinsurance. I mean, we would not be putting up that type of growth if we didn’t feel very good about adequacy levels and that’s probably the best indication that we can give you.
Phil Stefano: Okay. No. I appreciate that. Right. So my follow-up is going to be dialing in on the workers’ comp line. So we have now got four consecutive quarters of material declines. How should we think about the impact of remixing the book of business versus exposure versus price? And what has caused this line to come down and how should we think about this line in particularly as we move forward? Is it economically sensitive or is price just not have it at a rate adequate point where you feel comfortable turning the valve on and growing that business?
Juan Andrade: Yeah. Great. Thanks, Phil. Let me start and then I will ask Mike Karmilowicz to jump in on this call. Look, the first thing I would say is, we like workers’ compensation and we are experts at it at Everest. But we are also disciplined underwriters. And as I said in my prepared remarks, we see better pricing opportunities in other lines of business right now, property, D&O, specialty casualty. Those kinds of things. As I also mentioned, we are still writing comp. We are just changing the type of comp that we are writing going forward. Where we see less attractive pricing right now is in the monoline workers’ compensation space. So as a result of that, we have really shifted more toward loss rateable, loss sensitive business at that point. But as I also mentioned in my remarks, we are very much looking for the opportunities as the economy begins to heal and as things begin to improve. We will see an improvement in exposures also in the workers’ compensation line for us and when we see the opportunity and the pricing improving, firms improving, exposures beginning to grow, you will see us start to deploy more capital into workers’ compensation as well. But, look, this is how we are managing this company proactively, presumptively to focus on lines with better rate adequacy, with better opportunities for growth and with better margin. But, again, we like comp, we are just taking a pause on it right now from the perspective of monoline until we see conditions begin to improve. But with that, let me ask Mike Karm to jump in.
Mike Karmilowicz: Sure. Thanks. Thanks for the question. Yeah. I think only to follow-up, I think, that was well said is, we have been obviously managing overall exposure down as exposure growth is also shrunk as well. But the reality is we are starting to see that bottom out and to the point that was made by, Juan, as we start to see that opportunity, particularly pick up. I think we will cease that opportunity. We have been basically focused in the composition of the portfolio, really around low and moderate type hazard risk And so we feel very good about where we are and we are starting to see signs particularly outside of California where rate is starting to go up and nudge up and in California, we are seeing it starting to bottom out. But we are optimistic that, that toward the end of the year should start to change in California and that when the opportunity presents itself, you will see us certainly continue to gain some market share.
Operator: Your next question comes from the line of Mike Phillips from Morgan Stanley. Please go ahead. Your line is now open.
Mike Phillips: Good morning and thanks for the time guys. Kind of a follow-up to an earlier question, I think, one of the first questions on Insurance margins and just kind of want get a little more clarity on it. Juan, you mentioned, the year-over-year increase -- the year-over-year improvement in interest on loss ratio to 64.3% and you talked about how the loss trends are making things a little more cautious on your part. I guess is that way for the first time in over a year we saw an increase in the loss pick from -- sequentially from the prior quarter. It’s been coming down over quarter over quarter over quarter and this quarter it went up from 4Q. Is that simply yet because of your concerns on loss trends or is there anything else going on that would make your increases from 4Q?
Juan Andrade: Yeah. Thanks, Mike. Thanks for the question. I would start with saying, look, the appropriate comparison is more of a year-over-year comparison than the sequential comparison and that’s going to be driven more by mix of business than anything else. So I think that’s an important point. The second point that I would make is, look, we feel pretty good about the business that we are writing today, about the rate adequacy on that business and about the margin that we are building. My comments about holding the line on loss picks are really pretty straightforward. It’s the fact and I have been pretty consistent in this messaging over the last number of quarters. In this business you got to wait for things to season out over time and so in the meantime, it’s not just about rate, it’s about all those actions that we are taking on the underwriting side, portfolio management, limit management, attachment points, et cetera, to continue to improve the profitability in the quality of your book and that is what you are seeing. Those are the numbers that are being reflected not only in this quarter but in the last several quarters as well. And so going forward, we do believe we are building expected margin in those lines. And as we start getting more certainty on the fact that rate has indeed exceeded our trend expectations that margin will start coming through the bottom line basically.
Mike Phillips: Okay. Thanks, Juan. Switching it then to capital, I guess, as last quarter, you hadn’t deployed the $1 billion of debt and you mentioned here today that you have put some new deployment in the current -- new capital in the Reinsurance, I might have missed if you said anything on Reinsurance. But can you just tell us where you are with that $1 billion that you did back in October and where that stands today and how do you see that kind of being deployed this year, maybe more in gross or coming back a bit to anything else that you might do with that? Thanks.
Mark Kociancic: Yeah. It’s -- Mike, it’s Mark speaking. So first of all, the -- we still have ample room to deploy the capital. It’s not fully deployed. But there is no constraints in terms of our growth expectations this year our ambitions on both the underwriting side and on the investment side. So I’d say, we are just looking for the best opportunities in the execution of our plan and capital is not a constraint either in the execution of the business or on the capital management side in terms of buybacks or dividends.
Juan Andrade: Yeah. Mike and what I would build on Mark’s answer is, remember what we said back in October when we did the debt raise, it was purely opportunistic, right? We have plenty of capital to be able to deploy. And so, as Mark said, and I will affirm that, we are seeing great opportunities in this market. You are seeing the continued momentum on the topline in both Reinsurance and Insurance, and we feel pretty good about the capital backing all of that.
Mike Phillips: Okay. Thank you, Juan. I appreciate it.
Juan Andrade: Thanks, Mike.
Operator: Your next question comes from the line of Yaron Kinar from Goldman Sachs. Please go ahead. Your line is now open.
Yaron Kinar: Good morning. My first question, I hope that you will be willing or able to answer it. I am going to give it a shot. I am looking at the slowdown in rate improvement 500 basis points quarter-over-quarter in Insurance. I am looking across some of your competitors, it sounds like there is a pretty wide range there of the rate of slowdown. And I am just trying to understand what would drive one company’s slowdown to be greater than anothers? Is it a business mix, are you accounting for rate in a different way? Any help there that you can offer in looking at those -- this wide variance of trends would be helpful?
Juan Andrade: Yeah. Yaron, happy to give you a perspective and then I will invite Jim Williamson to jump in as well. Look, starting with Everest, and as I mentioned to Elyse earlier in the call, 16% is very good. It continued significant momentum on the rate side of things. Business mix certainly will influence that, the type of business that you write in a particular quarter. For instance, in this case, if it’s more heavily weighted toward a property a short line type exposure, that carries a certain rate, that’s certainly going to impact the mix. Now, if I elevate the answer to your question and basically then talk more about the industry and look across companies, I think, again, business mix plays a part of that. I think execution place part of that, right? I think one of the most important things about our primary Insurance business and I talk about it often, I am very proud of them is how well they execute in the market. So I would say business mix is part of that, execution is part of that, portfolio management and how you look at risk is certainly part of that, and ultimately, risk selection which is a component of that. I think those are all the things that essentially go into play. But look, speaking from our perspective about Everest, we expect continued momentum and strong renewal rate growth throughout 2021.
Jim Williamson: Yeah. Not a lot to add, Yaron. Other than to say, when you start looking across companies, just to give you a sense of how we think about it within our own portfolio. I mean, obviously, we are well aware of the topline number for our Insurance Division, for example. But we really do look at it a much more granular level because of all the reasons that Juan sighted. And at the end of the day, we have got underwriters they have -- they are approaching the market in a very disciplined fashion. But they are selecting one deal at a time. They are focused on making sure they underwrite the deal appropriately that they attach the right terms and conditions to drive the total margin outcome and so it’s really only a debt level that the numbers are truly meaningful. So I would just be -- I’d just be careful about reading too much into the fact that there is variation across firms.
Yaron Kinar: Yeah. That’s fair. I appreciate the thoughts there. And then if I -- for my second question, if I could shift to a Reinsurance segment, helpful color around April renewals, just curious, as we are starting to look at 6.1 renewals and the turmoil in Florida. How do you see the potential for growth there, I mean, we are hearing that there is a lot of need for rate on the one hand, much more involved in citizens and cat bonds on the other hand. So what opportunity exists there as far as you can tell today?
Juan Andrade: No. That’s great. And I will invite John Doucette to jump into this question, please.
John Doucette: Yeah. Good morning, Yaron. Thank you for the call. So we are -- as you said, we had a good April 1, renewals. We are looking at not only June 1, but July 1, where we kind of finish out the treaty year. So our expectation is, we will be deploying about the same amount of capacity. And we will be focused on pushing rates, terms, conditions, because there are a lot of moving parts, social inflation, the climate change, the assignment of benefits issue. So our view is our book will probably be similar to last year and we will look to improve the economics.
Yaron Kinar: Thank you.
Operator: Your next question comes from the line of Josh Shanker from BofA. Please go ahead. Your line is now open.
Josh Shanker: Yeah. Good morning, everybody. I will stick with Reinsurance. So the -- and then sort of a question getting up the loss ratio underlying didn’t improve all that much year-over-year, but of course, the expense ratio did. And I look at the business mix a lot of non-catastrophe, XOL business written, I think there’s a lot of business mix. Of course on Reinsurance, there is very different acquisition cost, different types of businesses. Can you talk a little bit educate us on cat versus non-cat property versus casualty on how the acquisition cost differ between XOL and pro rata, that kind of explains what’s going on I guess in the combined ratio which improved very well during the quarter?
Juan Andrade: Great. Thanks, Josh. And I will ask John Doucette to please answer this.
John Doucette: Yeah. Thanks for the question, Josh. So, yes, you are right, it is a business mix issue, a combination of -- and we do have different commissions and expenses, whether it’s an excess of loss or pro rata. But it’s more nuance from that. Really it -- there are deals that have very low commission structures, certain lines of business that the commissions even though they are on a pro rata basis. The commissions given it’s a function of the loss ratio is a lot lower and closer to an excess of loss business. So it really has to do with the mix and it also has to do with, we did see some improvement in ceding commissions on proportional deals, particularly on the property side where we need -- where the ceding commission is a function, is effectively rate change and so some of the proportional deals that needed some improved economics from a Reinsurance point of view. We did see some downward pressure on the ceding commissions that then flowed into the numbers you are seeing today.
Josh Shanker: So if I want to extrapolate the first quarter result into the full year, you write the most amount of premium Reinsurance in the first quarter. Are the changes we are seeing year-over-year in the first quarter indicative of how the loss ratio and expense ratio might play out as we move across 2021?
John Doucette: So I think the best estimate of where the loss and expense ratio would be this quarter, yes.
Josh Shanker: Okay. Thank you very much.
Operator: Your next question comes from the line of Meyer Shields from KBW. Please go ahead. Your line is now open.
Meyer Shields: I know you touched on this, but when I look at the non-acquisition expenses in Reinsurance. So we saw a pretty big jump on a year-over-year basis and I was wondering is that tied to mix also or are there other factors driving that?
Juan Andrade: Meyer, just to make sure I understand your question correctly, are you looking at the non-acquisition expenses so are you focused on the 2.9?
Meyer Shields: Yeah. The ratio was flat, but the dollars were up a lot.
Juan Andrade: Yeah. So I think there’s a couple of things play here. Number one, I think, as Mark mentioned, we certainly are seeing a benefit from earned premium growth coming through as a result of the business that we have been writing, and frankly, the success that we had last year in growing the franchise. If you recall, we grew that franchise by about 15%. So you are seeing the benefit of that coming through. Specifically to the dollars being up in the quarter on the Reinsurance segment, I think, a lot of that is frankly noise, as Mark said earlier. There’s always going to be a bit of volatility in the expense ratio from quarter-to-quarter, so I wouldn’t read too much into that. But as both Mark and I said earlier, when you think about the operating expense ratio, trajectory, you know that 2.9, 3 is probably a good number for Reinsurance. Mark, I don’t know, if you would like to add anything?
Mark Kociancic: Yeah. I will just build off that a little bit because I think Juan captured it. I think for this quarter you are seeing a slight elevation just in terms of the volatility. I know there was very strong earned premium growth in Reinsurance, so perhaps it could have been less than 2.9. But there is nothing fundamental in there, you will still see this -- we should be coming in less than 3 for the year.
Meyer Shields: Okay. That’s very helpful. And then a big picture question, I can’t remotely disagree with the rationality of rate increases slowing down as more business achieves adequacy. But the history of this industry is that second derivative continues and eventually becomes disruptive, this is non-Everest question, but as a reinsurer you talk to a lot of companies and Everest has been focused on relationships. Is there any reason to be more optimistic about the post-hard market phase of the cycle whenever that emerges?
Juan Andrade: Yeah. That’s a great question. I think you are getting into psychology now, Meyer, not the Insurance, Reinsurance economics. But, look, I think from my perspective, there is a number of things that might be slightly different, right? If you look at the underlying conditions that drove the need for rate, right? So a number of years of soft pricing, inadequate pricing, inadequate rates, et cetera, that finally began to turn as you had the impact of the catastrophes in 2017,2018,2019, as you had the impact of social inflation coming through. Now you have the impact of the COVID pandemic and the correlated impact on both the asset and the liability sides of the business. So all of these things are at play, right? And I think, what you found is that, people have achieved some level of discipline and you are hearing it from us certainly, you have certainly heard it from our peers, particularly on the Reinsurance side that they have all approached to 1-1 renewals with a level of discipline. Frankly from some of our competitors that maybe we haven’t seen that level of discipline in the past. So I am an optimist and I think that some of that will continue as we go forward. There’s also been capital that’s coming in into the market, into the industry. But that capital has only been impacting on the margins and nibbling on the edges, so it has not been a significant amount of capital. So look, I think you still have some of the underlying factors to drove the need for rate. Rates are getting more adequate, as I mentioned earlier. But again, there’s still environmental issues that we all need to keep an eye on, particularly the more disciplined companies like Everest I think will be very focused on that going forward.
Meyer Shields: Okay. That’s very helpful. Thank you so much.
Juan Andrade: Thanks, Meyer.
Operator: Your next question comes from the line of Brian Meredith from UBS. Please go ahead. Your line is now open.
Brian Meredith: Yeah. Thanks. Good morning. I guess the first question I am just curious in the Insurance segment, the acquisition expense ratio, you talked about better kind of ceding commissions benefiting the acquisition expense ratio. Is that a kind of a function of kind of changes in your Reinsurance buying philosophy and should we continue to see that lower kind of acquisition cost benefit ratio going forward?
Juan Andrade: Yeah. So let me start and then I will ask Mike Karmilowicz to jump in. I think a big driver of that, Brian, was really the business that we wrote in the quarter and how that business then fits into the Reinsurance structure that we have in place. So I think that’s part of that. I think the other part of that is that our reinsurers for the primary business are seeing and have seen the quality of the portfolio and the quality of the book that we have put together and so because of that, we are able to get slightly higher seed commissions on that business. But let me turn it over to Mike and he can add some additional color and context.
Mike Karmilowicz: Sure. Thanks, Brian. Yeah. So I think definitely business mix to Juan’s point, it’s certainly a factor in that as you saw like excess cash in some areas we have had significant growth that we are getting a little bit of the benefit of that. Also there’s a little bit of us shifting to some of the more open market from programs, that growth in that business mix again will play into that. And then finally, what I’d say, you probably see us as we continue to gain scale, be less dependent, we tend to be very conservative and basically buying Reinsurance, and so I think you will see that net to gross number change as well as we continue to kind of evolve. But in general, I think, that the business mix is mainly a bit much driver for the quarter.
Brian Meredith: Great. Thanks. And the second question I have I know it’s really early in the process here, but just wanted to ask a quick question about taxes here and the discussion about corporate income tax rates going up and particularly the GILTI tax. Does the GILTI tax have a big asset for you guys and how should we kind of think about that in the event that we do get some big changes in the GILTI tax?
Mark Kociancic: It’s premature to say how that’s going to play out for us. Right now I don’t think it’s what we see on the table from the administration or at least public dialog is not good for the in general. But I don’t think it will have a material impact on us in terms of the way we are organized. So I would expect it to be marginal if something like that is implemented in the fall.
Brian Meredith: Great. Thank you.
Operator: And I am not showing any further questions at this time. I will turn the call back over to management for closing comments.
Juan Andrade: Great. Thank you. Everest is well-positioned for this market and for the opportunities we have seen and improving economy. Despite the material, social and economic impact of the COVID pandemic, we continue to grow unimpeded, recruiting top talent and delivering value to our stakeholders. We have leading financial strength, a preferred market presence and a diversified global platform. We are nimble. We have deep distribution relationships, great people and a great culture. I am very excited by the opportunity ahead of us and I believe we are well-positioned to excel. Thank you for your time with us this quarter and for your continued support in the company. We will talk to you after the second quarter. Thank you.
Operator: Thank you. And this concludes today’s conference call. Thank you for participating. You may now disconnect.